Operator: Good day, ladies and gentlemen and welcome to the Third Quarter 2014 Energy Transfer Partners Earnings Conference Call. At this time, all participants are in a listen-only mode. (Operator Instructions). I would now like to turn the conference over to your host for today to Mr. Martin Salinas, ETP’s CFO. Please proceed.
Martin Salinas: Thank you operator, and good morning everyone. We are pleased that you have joined us this morning as we talk about what another great quarter we had for Energy Transfer. As usual I am joined by Kelcy, Macky, John McReynolds, Jamie and other members of our senior management team who are here to answer your questions after our prepared remarks. I will begin by discussing some of the key accomplishments ETP achieved since our last earnings call followed by a brief update on our growth projects and then I will wrap-up with ETP’s financial results for the quarter. After than I will turn the call over to Jamie who will then discuss ETE’s activities including financial results for the third quarter, then we will open up the line for your questions. As a reminder, we will be making forward-looking statements within the meaning of Section 21E of the SEC Act of 1934 based on our beliefs as well as certain assumptions and information available to us . I'll also refer to adjusted-EBITDA and distributable cash flow or DCF, both of which are non-GAAP financial measures. A reconciliation of our non-GAAP measures can be found on our website. Let’s start with ETP’s quarterly distribution rate which we increased for the fifth straight quarter to $0.9750 per unit or $2.90 per unit on an annualized basis, while maintaining a conservative distribution coverage ratio of 1.13 times. This distribution represents a year-over-year increase of 7.7% on an annualized basis and will be paid on November the 14th to unit holders of record as of November the 3rd. We continue to see strong distributable cash flow from our diversified portfolio of asset as we exit 2014 and we believe we are well positioned to see our distributable cash flow continue to grow in 2015 and beyond. Now turning to recent achievements. At the end of August we completed the previously announced acquisition of Susser, for total consideration of $1.8 billion which we funded half with cash and half with new ETP units. As part of the Susser purchase, we also acquired 100% on the general partner of Susser Petroleum Partners LP, along with 100% of the IDR and just over half of the limited partner’s interest in Suss P, which is now renamed Sunoco LP as of October 27. And by acquiring Susser’s retail chain and Sunoco LPs wholesale motor fuel operations, we secured a well-established platform in Texas with the strong emphasis on the convenience and food aspects of this business and effective organic growth market. The [mileage] standalone MLP vehicle that is in Sunoco LP in which to drop our Sunoco Inc retail and wholesale fuel distribution businesses along with the strike retail assets you can understand our tremendous enthusiasm to the future of this business. As speaking of enthusiasm we didn’t wait much time starting a transformation of Sunoco LP, for the first dropdown completed on October 01st we dropped in mid-Atlantic convenience stores and TigerMarts, or MACS for short, in a transaction valued that $768 million consistent of 556 million in cash and approximately 4 million newly issued Sunoco LP units. MACS includes 110 company operated and 200 dealer operated or consignment in the Southeast. And not surprisingly we are now focused on the second drop as we look to move our retail operations down to Sunoco LP in a prudent and timely manner. With respect to our retail operations we are extremely pleased with what we have achieved in 2014 and a third quarter was no different. I will go more into detail when I walk through our results, but suffice to say, it certainly pays off to have a diversified platform of assets and operations, along with a management team that can execute the captured market opportunities as they present themselves. And our retail business has done just that. Turning to some of our growth projects, starting in Appalachia. We are thrilled to report that Rover gas pipeline which will connect Marcellus and Utica shale supply to markets in the Midwest, Great Lakes and Gulf Coast regions of the United States and Canada is now fully subscribed to 3.25 billion cubic feet of natural gas per day and I would also like to point out that agreement supporting Rover are 15 year to 20 year binding fee-based, shipper commitments. In addition one of the parties who had an option to acquire a non-operating interest in the pipeline that has exercised such option and we should be able to provide more details on this within the next few days. Additional option for equity participation expire in December and to extend a fresh options our exercise we all own no less than a 51% interest in the pipeline and to reiterate what we have said before regardless of ETP’s final ownership percentage, ETP will construct and operate the pipeline. And a couple of reminders on Rover. The total project will consist of approximately 800 miles mostly 42 inch pipe at an estimated cost of $3.8 billion to $4.4 billion. Equity owners will pay their propionate share of the cost and we expect to be in Tobias, Ohio at December 2016 and in service to other markets including Michigan on May 2017. Lastly, we announced that Phillips 66 is joining ETP and ETE as a partner with a 25% interest in two joint ventures to develop our previously announced Bakken crude oil pipeline that being Dakota Access Pipeline and the Energy Transfer Crude Oil Pipeline together reference as the Bakken project. Energy Transfer on an affiliate will operate both pipeline system and ETP and ETE will hold a 75% interest. A binding Expansion Open Season was launched in late September to assess additional capacity interest on both pipeline and based on contractual commitments we have received today the capacity of the Bakken project will be at least 450,000 barrels per day and with the additional of thermal pump stations could be increase to as much as 570,000 barrels per day. The Bakken project will provide shippers with access to Midwestern refineries and to the Gulf Coast markets where it will have major interconnections with the Sunoco Logistics Partners and Phillips 66 terminals Nederland, Texas. Additionally, we expect to have unit train loading facilities near Patoka, Illinois which will enable delivery to East coast refineries. The pipeline projects are still expected to be in service by the end of 2016 and the estimated cost remain the same at approximately $4.8 billion to $5 billion and Phillips 66 will pay us the portion of 26 shares. Now moving on that the Eagle Ford and Eaglebine rich gas production areas, we just announced apparent new 200 million cubic feet per day cryogenic gas processing plants project. The East Texas plant in the REM Eagle Ford Plant II, along with a large gas gathering pipeline system to be constructed. Each project are supported by new long term feed based gathering and processing agreement with producers in the ever growing South and Southeast Texas region both in East Texas plant and the gathering system are expected to be in search by the fourth quarter of 2015. The REM Eagle Ford Plant II should be in service by June 2015 and we expect it to be fully subscribed when it goes online. While these three new projects are completed by the end of next year ETP will have approximately 1.8 billion cubic feet per day acquire processing capacity in the Eagle Ford and the Eaglebine play and we expect NGL recoveries to reach 250,000 barrels a day from these areas. We also announce yesterday that Lone Star NGL our joint venture with Regency is constructing its third 100,000 barrel per day fractionator in Mont Belvieu. The fractionators was fully subscribed by multiple long term fee based contract and is necessary to handle the growing volume on Lone Star adjusted pipeline and other NGL pipeline delivering NGL barrels to Mont Belvieu. And we expect fractionator to be online by the end of 2015. We also expect to have some other expanding update regarding our Lone Star NGL business at our Analyst Day in a couple of weeks. As evidence by the recent announcements of Rover, Bakken and other organic project bring ETP end announce growth project cost estimate for over $10 billion. Our commercial teams tremendously active in following the drill bit and listening to our customers and evaluating numerous potential organic growth opportunities. Between the organic opportunities to capitalize on and strategic acquisitions we clearly expect to deliver the time of growth that will driver unit holder value, now and into future. And looking at CapEx now and we want to point that we broke out CapEx between direct and indirect to help identify what entity is responsible for what. ETP segment in $4 million during the quarter and just under $1 billion year to date on growth CapEx. With a measuring of that amount being invested in our mix stream and liquid transportation and services segment. For the full year 2014 our growth capital expenditures including our direct capital expenditures at ETP and indirect capital expenditure at SXL and Sunoco LP are now expected to be in a range of $4.1 billion to $4.5 billion. And as we looked to dot our I’s and cross our T’s for the next week or so we will provide you with our 2015 growth CapEx at our Analyst Day. We hope we have same excitement we have on the visible distributable cash flow growth that is underpinned by our expansion projects that have and are coming online and also from future expansions capabilities that we are currently presuming. Now turning to our third quarter 2014 results and we had another excellent quarter. Adjusted EBITDA on a consolidated basis totaled $1.17 billion. Which is up $230 million compared to the third quarter of last year. And distributable cash flow attributable to ETP partners increase $77 million from a year ago to $610 million. Our midstream segment and our liquids transportation and services segment deliver particularly strong performance again quarter over quarter. In the midstream segment where volumes were up significantly adjusted EBITDA increased value in the prior quarter and increase $23 million as compared to the same period last year. Gathered gas volumes totaled almost 3.1 billion cubic feet per day which is up almost 203 million cubic feet per day versus the second quarter of 2014 and up by more than 519 million cubic feet per day versus a year ago. In addition NGLs produce -- equity NGL produce were up primarily due to increased projection in the Eagle Ford Shale and a $400 million per day increase in profit and capacities from assets we recently placed in service. In the liquid transportation and service segment adjusted EBITDA increase $63 million as compared to the same period last year. As transportation in volumes were also up significantly. On the NGL pipeline systems we transported almost 419,000 barrels a day which is up 51,000 barrels a day versus the second quarter of 2014 and up a 145,000 barrels a day year over year. An increase in NGL transportation volumes reflected an increase of approximately 93,000 barrels per day in volume transported on a wholly owned pipeline primarily due increased in NGL production from our Jackson processing plant and volume transported to our Mont Belvieu facility via our Justice pipeline. The remainder of the increase was some volume transported on West Texas and the Eagle Ford Shale on our Lone Star pipeline system. Fractionation volumes also increased by 36,000 barrels a day for the second quarter of 2014 and they were up by more than 130,000 barrels a day from a year ago. Now moving to our natural gas transportation pipeline where interstate segment gas volumes and EBITA were mostly flat versus the second quarter of 2014. Q3 EBITA was up slightly after adjusting for the due consolidation and the Trunkline LNG transaction versus the third quarter of 2013. On our interest sight segment, although volumes were down from the second quarter of 2014 and from a year ago, EBITA was flat versus a year ago and down slightly quarter over quarter. However, we expect significant volumes to grow in 2015. The expected acreage is primarily due to new volumes in than our system in loan sectors, web sectors and meet deliveries into Mexico. Now looking at our investment in SXL, clinical logistics delivered another strong quarter in Q3 a nice quarter to quarter uplift and adjusted EBITDA primarily driven by increased margin and its crude oil refine product and NGLs acquisition in marketing businesses. Distributions from our equity ownership and SXL continues to grow as the SXL deliver to 38th consecutive quarter increase with a 23% increase in distributions year over year. And we believe that SXL poised to continue growth given the significant investment the partnership is making and expanding the asset footprint, further evident by the announcement made this morning and moving forward with Mariner East 2. Last, but certainly not least, our Retail Marketing segment is having a record year with adjusted EBITDA of $191 million for the quarter. Our retail segment benefited from strong Q margin due to following processes during the quarter and also from earnings contribution from a recent acquisition. This includes the MACS and TigerMart stores that contributed approximately $31 million along with one month contribution from Susser and Sunoco LP of approximately $19 million. We couldn’t be happy with the performance of our retail marketing business led by Bob Owens. With our plan to dropdown the remaining retail marketing assets into Sunoco LP, we are excited to continue with the confirmation of Sunoco LP into one of the leading wholesale fuel and retail marketing platforms in the country with tremendous scale and diversity of supply and geography. And further looking at our liquidity as of September 30 we had $800 million of borrowing and our $2.5 billion revolving credit facility as I mentioned earlier you will receive $556 million in cash coming in the asset -- As I mentioned earlier we received $556 million in cash from a max to Sunoco LP in the first week of October that was used to repay our revolver borrowings. As from a bank government perspective our debt to EBITDA ratio stood at 4.13 times as of September 30. With that, that concludes the highlights for Energy Transfer partners I’d now like to turn the call over to Jamie to discuss ETE. Jamie?
Jamie Welch: Thank you Martin and good morning everyone. It’s been interesting month in the MLP space one in which every energy partnership is been examined thoroughly by analyst and investors as for their ability to whether declining crude process. We have done our own analysis on the energy transfer family partnerships as well through our analysis we see each partnership ETE, ETP, Regency, SXL, and Sunoco all well positioned for the future. ETP, Regency and SXL all have structured contracts for the strong percentage of their cash flows and the fee based agreements. In addition, the scale and diversification in the overall asset base should bode well even the face of the kind of volatility that we’re being seeing in the market recently and we remain excited as to what we are seeing in the retail arena, whether the Sunoco Inc assets currently under ETP for the new Sunoco LP. Retail have been a very strong performer throughout 2014. So when we announced the Susser acquisition we said it was a bet on Texas, it was bet with the dice, when we announced the DO and it’s a bet we like even better today. The bottom line is we continue to gain momentum to another quarter of strong financial results across all the partnerships. We are pleased with the quarter but in no way do we want to sit back and rest it is important we continue to look for both strategic organic projects and M&A that will complement our businesses. At ETE we feel we are continuing to build a best-in-class portfolio of related partnerships that will continue to deliver outstanding value for the respective unit holders. Speaking of organic projects, with third quarter updates today, the total growth CapEx of board approved projects across the group now stand at close to $20 billion. Once you layer on Lake Charles LNG that would represent over $30 billion. Combining this magnitude of organic growth project and with our continued focus on M&A opportunity that sets the stage to strong distributable cash flow growth for many years to come. Speaking of Lake Charles LNG, we expect to receive the third notice of schedule for environmental review immediately. This notice provides an important timeline to the issuance of the notice of availability of final environmental impact statement. In issuance of the final environmental impact statement starts the 90 day clock running for other federal agencies to complete their review of the project and issue required agency authorizations. We expect that [indiscernible] authorization during this 90 day period as well. After consultation with BG, we have decided that while disclosure of the agreements in the key economic terms will be made to all parties approach to finance the project, the relevance documentation will not be filed publicly at this time. In large part, this decision is based on respecting BGs continuing commercial activities, the overall status of an ETP bid process and a fact that both BG and Energy Transfer must each make a decision on FID, that in and of itself make Lake Charles different from all other U.S. LNG project, where the owner has unilaterally controlled the FID decision. However, and as I mentioned a moment ago the key is that the underlying economic and turns will be fully shared with all of the parties involved in the financing of the project. This will enable the timely launch of the formal financing process and we expect to kick this up very shortly. As we have consistently stated, FID is expected in mid-2015 and we are confident that train 1 of Lake Charles LNG will begin operations in 2019. Today given the overall progress and momentum and with the pending launch of our formal financing process, we are more confident than ever that this will be a successful project for both Energy Transfer and BG. Just to remind as the Lake Charles LNG project will create the second largest liquefaction facility planned in U.S. after Cheniere’s Sabine Pass. Once it is completed in 2020, we expect the project to generate close to $2 billion of growth annual cash flow from year-end 2020 through year-end 2045. We will provide further update on Lake Charles LNG at our upcoming Analyst Meeting November 17th and 18th. Switching topics, as Martin mentioned earlier ETE will participate in the two Bakken pipeline projects with ETP and Phillips 66. These important projects are going to provide much needed access and optionality for growing volumes of North Dakota light crude to move to multiple market expenses. Moving now to the financial results, just a reminder ETE’s cash flow comes from the general partner interest and IDR at ETP and from Regency from 50% of the economic for GP and IDR from SXL through the process units and through our ownership of Lake Charles LNG. Distributable cash flow as adjusted for the three months ended September 30, 2014 totaled $234 million, an increase of 11% compared with the third quarter of last year. The increase resulted from high distribution from Regency, cash flow from Lake Charles LNG and year-over-year interest expense reductions from lease financings contribute in late 2013. As we have emphasized, cash flow diversification at the ETE level is very important to us. For the three months ended September 30, 54% of the ETE’s gross cash flow was directly attributable to ETP, 18% from SXL, 16% from Lake Charles LNG and 12% from Regency. The ETE’s Board last month declared eight consecutive increased in our quarterly distribution to $0.415 per unit or $1.56 per unit on an annualize basis. This quarterly cap distribution represents the 23% increase in distribution per unit, compared to the same time last year and will be paid on November 19th, to unit holders on record as of November 3rd. The overall increase reflects our confidence in the growth trajectory for ETE both now and into the future. Our distributable cash flow coverage ratio remained above one-time at 1.04 times on both the quarter and year-to-date basis. Before opening the call to your questions, we would like to thank all of our employees for their continuing hard work and effort that has again reflected in the strong results across the entire group. The overall success of the family would not exist without them. Likewise we very much appreciate the continued report of our customers and all the stakeholders. Operator that concludes our prepared remarks and please open the line for questions.
Operator: (Operator Instructions) Your first question comes from the line of Brian Lasky of Morgan Stanley. Please proceed.
Brian Lasky: Good morning, everyone, and congrats on a great quarter. Just to start out on Lake Charles, I think BG was pretty clear on their call that this is the low cost option in their portfolio and there didn't seem to be any hesitation on their front. But just wanted to hear from you guys on whether or not you've noted any -- during your conversations with BG -- any hesitation at all in terms of moving forward on the project?
Jamie Welch: Brian, this is Jamie, short answer is no. In fact as I think to the contrary in the last week and a half, you’ve probably seen growing momentum at work within both the team in U.S. as well at headquarters in the UK about Lake Charles and we continue to move forward with the expectation that mid next year will achieve FID and that’s current plan.
Brian Lasky: Perfect. On the Bakken project, in terms of the remaining volumes to contract there, have those discussions changed at all given the recent volatility and would you expect if that additional shipper signed up would you expect them to take their 25%?
Marshall McCrea: I guess first let me say that, this is Mackie, how excited we are or where we’re at the Bakken project after other companies work many years to develop that project. Late Lee Haunsey and his team did a great job, we’re very excited, as you know we’re in our expansion open season, its going exceptionally well, we now build to at least 450,000 barrels a day and anticipate building higher. As far as specific questions on equity owners whether or not they are taking the capacity or any other shippers, we just don’t disclose that on specific volumes to taken by our customers.
Brian Lasky: Got it. And then you may not be able to discuss this quite yet, but with regard to that project did you guys -- if you were to drop down the interest from ETE down to SXL on a high level discuss what type of structure that may take?
Jamie Welch: Brian, Jamie here. The short answer is if you take any number of alternatives and I think the short answer is, we just needed to -- we’re trying to work out what makes the greatest amount of sense for all the constituency ETP, ETE and SXL. So, I think it's premature to talk about a particular structure, what doesn’t work, what does work at this point in time, but we’re working through it.
Brian Lasky: Got it and then just finally. You continue to increase your distribution at ETP at the $0.02 per quarter level. I was just wondering if you guys could maybe on a high level discuss how you guys are thinking about your numerous financing levers into next year.
Martin Salinas: Yes, Brian, this is Martin. We have talked about one of the levers SKU levers will be our success in dropping down the refill assets that currently reside in ETP, down into Sunoco LP. I think we’ve demonstrated to the market that we are committed in doing so, very proud of Sunoco LP and been able to raise equity and a pretty troubling time. So I think it gives us confidence and hoping is the market confidence that we are long our away with chasing that, that would take the form of some units back to ETP, but assuming cash that we will then deploy into our own capital program to some of these projects. And then we’ll opportunistically as we draw on our revolver which we have a nice liquidity position today to determine out in both debt and equity. As we’ve done in the past we’ve been very – tried to be very stringy with our issuance of ETP units, we’ll continue to do so. So we also want to manage that with maintaining our investment grade ratings.
Operator: Thank you. And your next question comes from the line of Brad Olson of TPH. Please proceed.
Brad Olson: Good morning, everyone. In wake of the MACS and Aloha deals that Sunoco Partners, in the outlook that you have there for future drop downs of the Sunoco retail business, seems like you have room to meaningfully maybe step change the distribution there and potentially offer visibility around growth that would cause Sunoco partners to re-rate to a yield that's more similar to the other MLPs that are capable of kind of 20% plus growth. Now when you think about the financing alternatives that you started to talk about with Brian's question, is that -- is that somewhere where you made see an opportunity, because it certainly seems that some of the refining sponsored MLPs are trading better despite having kind of comparable dropdown prospects and organic growth prospects as Sunoco partners.
Martin Salinas: Sorry, so what was the question?
Brad Olson: Are you guys going to focus a little bit more on using that as a financing vehicle and maybe financing on the--.
Martin Salinas: Absolutely we are very excited about what the acquisition of Susser and was that known Sunoco LP. So it’s not only create more unit holder value across the family but also as we step through the initial thoughts of the transaction with a very clever way of us to receive funds as liquidity to that financiace our own balance sheet and we certainly will be the primary driver of that sort of the next year or too.
Brad Olson: Got it and I guess more specifically is that, out of all of your vehicles, is it fair to say that Sunoco is actually one where there’s probably the biggest or one of the biggest opportunities for kind of a re-rate in valuation in the way that the market perceives that, given all the growth prospects that you have in that vehicle.
Martin Salinas: Absolutely we are looking to transform Sunoco LP and we’ve got a tremendous platform that decides an ETP and I think as we demonstrate to the marketplace on what the combine sort of assets can do I think it will be that much better as it sits in [indiscernible] entity once we complete the drop downs.
Brad Olson: Great. And I guess more broadly on the M&A front, obviously you guys have probably the most organic opportunities that you really had in the company’s history, and so as you move forward, are you still focusing as keenly on M&A, given the fact that you do have so much exciting project backlog to work through at both energy transfer and Sunoco, as well as Sunoco or is it -- as well as Sunoco retail? Or is it something where you are continuing to look externally for opportunities as well?
Kelcy Warren: Brad this is Kelcy. We will absolutely continue to look for external opportunities as you know our philosophy here is, every MLP we believe should have healthy mix of M&A and organic growth. Our scales is got a little tilted right now with a lot of organic growth that is fantastic growth as you know. But it will come on in few years we start spending money and this growth kind a comes in that needs to be a healthy mix of M&A that compliments that and we are, Brad we are little bit on a losing streak right now that are believing work we’re still in the game we need to perform.
Brad Olson: Thanks Kelcy that’s great color. And a final one to wrap up. Obviously, with Sunoco announcing what could be well over $3 billion maybe $4 billion of CapEx this morning, their plate looks relatively full and I guess, historically, you guys have talked about SXL as being one of the vehicles that would take down some more dapple interest. But is it possible or is it something that you would at least be willing to consider to have ETP be a buyer of ETE’s dapple interest, given the fact that ETP looks like they are deleveraging over the next few years, especially with the additional flexibility that they have being able to fund projects through Sunoco equity issuances.
Kelcy Warren: Absolutely as Jamie said before we are weighting our options and I know it probably seen add to the market and people listening to this call that we’ve not moved today, but it was difficult. We had keep patience and wait for that project to define itself and it does not make sense for ETE their own part of that project it does not, that’s not what we are trying to do in the family partnership. So to answer your question absolutely it be well could make more sense for [indiscernible] to be of the ultimate owner 100% of that.
Brad Olson: Great that’s a great color. Thanks a lot guys.
Operator: Thank you. Your next question comes from the line of Darren Horowitz of Raymond James. Please proceed.
Darren Horowitz: Morning guys. Yes, questions for you around the two Bakken lines for North Dakota light crude. Just looking where Williston basin crude is on a net back economic basis now, can you just outline for us, you know maybe when you’re talking to producers, what the downstream opportunities are to move those barrels, either to pad one or pad five? Do you think it’s necessary to have more scale of Patoka? Or is it a situation where you can greater leverage with some of the Gulf Coast, for example, you know Sunoco’s Nederland terminal or possibly even get those barrels or a slightly refined barrel on a dock for export?
Mackie McCrea: Hey Darren this is Mackie to answer that questions what our customers are asking for and what they’ve contracted for. As you know we’ll have a major inter connect at Patoka. We anticipate having multiple interconnects to other pipeline to deliver crude to the refineries throughout the mid-West. In our press release we mentioned that we’re working on a trial -- I mean a rail terminal to be rail to the East Coast. And of course pipeline extend down the Gulf Coast and connects to P66 and SXL so other than a West Coast our pipeline pretty much will reach all parts of nation and so we’re just guided by the customers, where they asked us to go that’s where we deliver the product and that’s where we building assets to be able perform on our obligations.
Darren Horowitz: Okay. As you think about moving and ultimately the home for those barrels getting more down to the Gulf Coast and you're looking at what you have in South and West Texas in terms of the asset footprint, how do you think about providing to customers some sort of common sake solution, whether or not it's at the fuel level, with Vapor or pressure control and [typically] and ultimately getting that to Nederland. Or if it’s a situation where you'd look to split it and maybe move gas oil or naphtha, to the Latin America or South American markets. It would seem like all signs point to you all doing something like that. I'm sure the producers are discussing that with you. And I would imagine you'd get even better un-levered cash-on-cash rates return for $1 of fresh capital spent there. Is that the right way to think about it?
Marshall McCrea: Sure. And once again, we answer to the question to what our customers are asking for. For example, we have modified our agreements a little bit to allow slider in up in the north end in the Bakken area and then depending on where they deliver their volume certain SXL be involved to a large degree probably as far as receiving volumes and then handling the different qualities of the barrels that we deliver to them. So the best way to answer that question is, is that we’re providing a service -- a fee based service under long term agreements and the shippers they owners of the capacity will determine what they ultimately do with the product.
Darren Horowitz: From the long-term structural perspective, Mackie, does it make more sense for all of those assets all the way across the supply chain to be 100% integrated at the ETP level?
Marshall McCrea: Well, that Kelcy and these guys just mentioned I mean the assets right now it’s ETP and ETE, ETE will not ultimately be an owner of the pipeline we made that clear. And as Kelcy just mentioned ETP will have full ownership of that with our partner P66 or possibly SXL.
Darren Horowitz: I was thinking more about the downstream assets in and around Nederland and the stuff that stretching down into South Texas.
Marshall McCrea: I am sorry, ask it again?
Darren Horowitz: I was just more talking about a lot of the downstream infrastructure, like what Sunoco Logistics has in Nederland and some of the other assets that are going and down South Texas. It would just seem, from a structural perspective, with all these big pots seeding and moving all these barrels down south, that ultimately a lot of those southern assets and the assets that extend across all [indiscernible] access would be better half as one ETP. I'm just thinking about the back end of that consolidation.
Marshall McCrea: Yes. I mean right now we’re in different partnerships ETP isn’t even in the crude business other than a line we’ve recently converted in South Texas. Whether or not ETP gets more involved in the crude side of the business it remains to be seen. If it make sense on converting some of our lines to crude and in the case of Trunkline we’ll continue to do that. But we are at separate partnerships SXL is and does focus more on oil side and ETP focuses more on whatever the best purpose with our assets are in this case it’s converting Trunkline to oil and moving to the coast. So I am not sure if I’m answering your question?
Darren Horowitz: Well, it was a creative way of asking a question. I'll just wait for the analyst day. I appreciate it though.
Kelcy Warren: Thanks Darren, this is Kelcy. I hear what you’re asking. And I think it was surprise to everybody on this call how well these are independently publicly traded MLPs but they also worked very well together. So you’re really, I think what you’re asking -- we’re probably maximizing as much value as we can from the transfer of ETP’s assets to SXL’s assets at Nederland. And so yes it is possible to consolidate the Nederland operations in the P, it is that I believe it would not be necessary -- I think well there is couple of reasons -- I think Mike Hennigan would not like that. And so we’re getting that complement without doing those kind of things.
Darren Horowitz: I appreciate it Kelcy. Thank you.
Operator: And your next question comes from the line of Abhiram Rajendran of Credit Suisse. Please proceed.
Abhiram Rajendran: Hi, Good morning, guys. A couple quick questions, so distribution growth at ETE continues to accelerate on a year-over-year basis. I think at some point over the next few quarters, that year-over-year acceleration probably tapers off and you move maybe to a more steady-state sort of growth. So, Jamie, could you just give us your thoughts on how you're thinking about this cadence over the coming quarters and then the coming years?
Jamie Welch: As you know, we’ve been very clear, the boss here is very -- he like to do things that are very consistent. So we agonize over $0.035 and at the end of the day he made the call. As we look forward we see a continued ramp up, $0.525 you’re in the cost of getting the hospice on Regency. You’re well on the high splits obviously with SXL. ETP continues on a full throttle basis. LNG I think it’s a nice upside as we’ve found cost savings and we’ve got the IDR rollback which are pretty big in the context of what we have. And then obviously in layer on top of all that you’ve got the play of when we ultimately own Sonoco the LP for the GP exchange that we will do with ETP at some point whether it’s through ’15 or at the end of ’15 and ’16 depending upon I think just what makes the most sense at the time and what are the needs of the overall group. So I think right now we feel pretty good about the distribution increase we made for the quarter. I think we feel pretty good about how we think about it rolling forward. And so as you know we don’t give guidance but we will allow people to think about sort of we feel pretty comfortable where we are right now and as we go toward at that this sort of rate.
Abhiram Rajendran: And then just a follow-up to that. Moving up the Susser, the Sunoco GP, up the ETE, I mean, are you guys waiting until the drop downs are completed or can this come before that gets done? Just how are you thinking about that?
Jamie Welch: I’ll give you ETE and I think our view is very much we would like accelerate the creation of ETE into a more of a pure play in GP. We would like to therefore accelerate what we do with Sonoco. I think once we get into the high splits which is really just the question of time and where it happens relative to the whatever dropdown we’re at. And then if it make sense as the conversations with Mackie and Martin then we will look to do it. We all know what happens when we get the 50% splits and we can look at it so what we think the future hold. I think much like with SXL we said look we’d like to do the SXL transaction and we’ll try to find something that will make sense for ETP and for ETE that would allow us to earn more cost based units.
Abhiram Rajendran: Okay. Got it. And then just last one from me, maybe a broader question on the LNG market. As you look at the behavior of some of the perspective LNG projects out there, do you see anything change given the latest moves included, and I'm not talking about Lake Charles and this doesn't affect the Freeport's of the world, but some of the ones that are further down the list are still trying to nail down customers and get all their details figured out. Any changes there that you guys are seeing?
Jamie Welch: Not that we see. Obviously we continue to see a number of projects start to commercialize, at the end of the day the customer aspect of the project is the critical aspect that actually gives life to anything. And what we have seen is I think we still see some hesitation on the part of buyers, we see some buyers out there that are probably smaller not larger. So it will be interesting to see how that evolves over the course of the next couple of years. And see what impact it has on the likelihood of incremental projects over and above what we have Coke Point and Elber Island and a few other projects that are I think most likely those two per-se.
Abhiram Rajendran: All right, great. Thank you very much.
Operator: Thank you. And your next question comes from the line of Ross Payne of Wells Fargo. Please proceed.
Ross Payne: How are you doing guys? Great growth prospects here, it's pretty amazing. I guess my first quick question is can you refresh or remember, or can you refresh my memory on the ownership that ETP and ETE have in the Bakken pipeline and the Trunkline reversal just from a percentage standpoint for both of those? Thanks.
Martin Salinas: This is Martin as we mentioned 75% of the project the combined data which we’ve talked about, we had Philip 66 in there for 25%.
Ross Payne: Yes. I saw that. I'm just curious the other 75% that's owned by ETP and ETE how is that split up?
Martin Salinas: 60-40 EP.
Ross Payne: 60% ETP, 40% ETE?
Martin Salinas: Other way around.
Ross Payne: Other way around. Got you. Any expectations that you can maybe throw out on what percentage SXL may participate in that? And obviously ETE will be selling down there position. Is the expectation to that ETP will also sell down some of their interest in those projects?
Martin Salinas: Ross and again as we’ve talked about we’re still looking to do that internally and we’ll do what make sense for the three entities involved. I think it's safe to say ETE will be heart of the asset owning business from that perspective, so that 50% will find its way into ETP and SXL as to what percentage that is, that’s something that we’ll work through in the upcoming weeks.
Ross Payne: Okay. And finally on some of these other drop downs to Sunoco LP, Martin any thoughts on how quickly that may happen?
Martin Salinas: As I mentioned before, we’re already looking at the second one and again we want to make sure that we are doing it not only like for the short-term but also for the long-term either what we see is a very opportunistic play in the retail space. So, we went faster than what we though on the first drop and our team is working hard as we speak today to get the next one done and ultimately get it all down at the Sunoco LP, hopefully within 18 months to 24 months’ time around.
Operator: Thank you. And your next question comes from the line of Helen Ryoo of Barclays Capital. Please proceed.
Helen Ryoo: Thank you, good morning. Couple of quick questions. So Jamie mentioned the Lake Charles project having $2 billion gross annual cash when I just wanted to make sure this is apples-to-apples with the 1.77 billion you shared in your last Analyst Meeting, that’s like 13% upside and if that’s the case I mean you know what is driving that. Is that are you just getting have you negotiated a better return? Or is the cost estimate going up? Could you talk about that a little bit?
Jamie Welch: Helen its Jamie. So it is apples-to-apples, I did say close to, but it’s not exactly 2 billion. But the short answer is our EPC estimates seem to go up a little bit. This cost basically contingency both EPC and owners contingency. We’ve got commissioning cost and other bits and pieces that will go into our invested capital component as we decide to return it still haven’t changed from where it was, but as things just move around you end up with a slightly different amount on a per annum basis so what’s going to reservation pay. So that it is apples-to-apples it’s obviously high then what we had it and also I think if you roll forward I think we’ve been saying that the projects now more like $12 billion. And I think we are sort of more like 11-11.5 when we did the Analyst Day last year. So you can see the cost have gone up a little bit that obviously reflects in overall reservation fee that gives us the return on and off capital.
Helen Ryoo: That’s helpful. And then in terms of financing, launching financing, you said very shortly are you able to -- could it happen before your analyst conference? Is it most likely to be completed by end of the year?
Jamie Welch: This long to short answer on the financing. When we get our FERC divesture schedule for environmental review basically we will stop and that’s what we were waiting for because that will clearly give us very delineated time table on which that we know exactly what’s going to happen when. And so that’s really what we are waiting for and as we said in the remarks its imminent we know its hopefully very shortly so unfortunately we don’t control our government and the timing which we had an issuance of in fact that notice, but we are hoping that it will happening very, very soon.
Helen Ryoo: That’s very helpful. And then just on Rover. You mentioned there was a third-party option holder who exercised at this point how much has been exercised how much is still outstanding and is there sort of a deadline that all these people who are given the options have to exercise?
Mackie McCrea: Yes Helen this is Mackie, yes there are deadlines. Shortly at the beginning of next year all the options will have expired probably within a day or so. We’ll disclosed who the party is there is exercise there are option by all the options do end by the early part of 2015 first week of 2015 and as Martin said at a minimum go on 51% and constructed operated and very likely to known more.
Helen Ryoo: How much was exercised so far?
Mackie McCrea: We have not disclosed that amount here.
Jamie Welch: I think it’s fair to say Helen you’ll see something I think really shortly by the relevant party that indicate how much they’re taken and who it is. Which one of that two -- I think that we said it was AU and Antero that have the two equity options. So just watch this space and you’ll answer will come.
Helen Ryoo: And then just lastly, project financing, I think you mentioned in the past that you may do project financing on Rover. Is that still what you’re trying to do? And if that’s the case, is it on the whole project or just on your interest?
Martin Salinas: Helen this is Martin yes we’re still planning on doing that much like the Bakken project we want to make sure we know like we’re building in and who the parties are and what’s at stake and then we’ll proceed with that. So we hoping that will launched in the next several weeks, but it will on that entire project matches to our share of the project.
Helen Ryoo: And this applies for both Rover in the Bakken project?
Martin Salinas: No, no just on Rover.
Helen Ryoo: Okay got it. Thank you very much.
Operator: And your next question comes from the line of Elvira Scotto of RBC Capital Markets. Please proceed.
Elvira Scotto: Hi, good morning. A couple of quick questions. First can you talk a little bit about the returns on the new projects that you announced yesterday both at the ETP level and then at Lone Star?
Martin Salinas: Yes as we keep saying we’re still excited about everything were announce for other $4 billion or $0.5 dollar, but kind of the same strategies on all of it. When we commit to build a project we have a sufficient amount of commitment to give us kind of a seven rate multiple kind of worst case. And as we completely sell out the projects we improve the economics as time goes on.
Elvira Scotto: Great and then just switching gears. Can you talk a little bit about the opportunity set with sort of the growing demand for natural gas in Mexico and then, not only on the U.S side, but on the Mexican side and whether you are bidding on any of the projects kind of south of the border?
Martin Salinas: Yes lot of focus seems to be on LNG and that’s certainly understood. But we are equal if excited about Mexico as it by probably knows we will kicking off our first pipeline in Mexico here in next month or so. We also will increase our volumes throughout 2015 for deliveries either direct to Mexico or through third party pipes to Mexico approaching a BCF a day. Yes we are heavily involved in any potential build out of pipeline in Mexico and also delivering to Mexico. We see that as an exciting future not only from Mexico and also for the gas producers in the country, but also for Energy Transfer, because we believe we’ll play a large role providing the natural gas needs of Mexico.
Elvira Scotto: Great thanks. And just my final question. Since the energy transfer family does believe that M&A plays an important part of growth, can you maybe talk a little bit about how the M&A market looks now, you know, especially in light of this crude oil price decline? Are more parties willing to talk and are they considering different sort of selling prices?
Kelcy Warren: Yes this is Kelcy I think first of all you can look two years ago and then identify the assets that could have been involved and then look last year and now look this year and one thing is just reality the shelves are getting a little thin, more and more assets have been consolidated and so it’s not as easy as it was before for us demanding four or five acquisition at given time. With very likely none of those having any legitimate traction but oftentimes they would ultimately. So that’s not to be a half empty glass of water kind of view, but there are fewer quality assets that are available. So we have had to work harder get deeper and we’ll continue to be successful in the M&A sector, it’s just we’ve not announced something now and a while now.
Martin Salinas: As far as expectations, I think what we’re seeing right now is volatility I think volatility needs to set in for a period of time. Before people will level set and change their current expectations and we’re seeing with reviewed guidance from company revising guidance down for 2015. We think this is to be honest and not putting words in Kelcy’s mouth but this probably a pretty good opportunity for us because we are strong coming into a period that is a little volatile and yes we will watch very carefully and see were the opportunities present themselves. And typically they do and we just have to make sure that we’re ready to act when it appears.
Elvira Scotto: Great. Thanks. That’s very helpful.
Operator: And your next question comes from the line of Ethan Bellamy of Baird. Please proceed.
Ethan Bellamy: Good morning, everybody. Kelcy, the other energy infrastructure super powers have simplified and consolidated. Do you expect to simplify at some point or are we still headed to increase complexity first?
Kelcy Warren: We like not refer to this complexity and refer to it as maximizing distributable cash flow for our unit holders, which are kind hear some trumpets now play. But I hear you I know it appears that way we believe that we have figured this out better than our competition I don’t fault them for they are doing appears I understand we will, driven by different things but we like where we are we like having a family of partnerships that have, varying cost of capital, varying expertise, varying skill sets. We think we have assembled an incredible family and we believe this is the correct thing to do and we’re going to prove to everybody on this call that we know exactly what we’re doing.
Ethan Bellamy: Okay. Maybe even bigger picture question. Election results shifted the balance of power in the US. Does that help or hinder your opportunity set?
Kelcy Warren: That’s such an excellent question, without getting into my political views, I will tell you and Mackie and I have had this discussions. I can’t imagine a better six years then we’ve had and the mystery in sector write or wrong policy has driven United States to natural gas away from coal, it’s just been a wind fall of infrastructure opportunity and really good, ultimately I will believe that was the actual goal. But that is the best thing for the United States. I am pleased with what I’m seeing with elections, but to suggest that I’ll see more economic windfall result to this would not be accurate.
Operator: And your next question comes from the line of Ross Payne of Wells Fargo. Please proceed.
Ross Payne: Guys, real quick? Martin what is the total debt number for the quarter? You have it in short-term maturity -- short-term liabilities but just wanted to get the total debt number. Thanks
Martin Salinas: Yes Ross let me guess to get on that right in front of me I’ll have to get back with you that.
Ross Payne: Okay thank you that’s it me from me sorry.
Operator: And I would now like to turn the call over to Martin Salinas for closing remarks.
Martin Salinas: Great again, thanks everyone for your time this morning obviously lot of great things happening and look forward get in front of you on our Investor Day here in a couple of week. Have a good day.
Operator: Thank you participation in today’s conference. This concludes the presentation. You may know disconnect and have a great day.